Operator: Good day, ladies and gentlemen. And thank you for standing by. Welcome to the European Wax Centers Fourth Quarter of Fiscal Year 2021 earnings call. At this time, all participants are in listen-only mode. After the speaker's presentation, there will be a question-and-answer session. In order to facilitate as many participants as possible, we ask that you please limit yourself to one question and one follow-up during the Q&A. If you have additional questions, you may rejoin the queue. At this time, I would like to turn the conference over to Amir Yeganehjoo, Senior Vice President of Financial Planning and Investor Relations. Sir, you may begin.
Amir Yeganehjoo: Thank you. And welcome to European Wax Center's Fourth Quarter and Fiscal year '21 Earnings Call. With me today are David Berg, Chief Executive Officer, David Willis, Chief Financial and Chief Operating Officer. For today's call, David Berg will begin with a brief review of our fourth quarter and full-year performance, highlight our fiscal '21 accomplishments, and discuss the priorities we are focused on as we begin fiscal '22. Then David Willis will provide additional details regarding our financial performance, our capital allocation priorities, including the recapitalization announced today, and our guidance. Following our prepared remarks, David Berg, David Willis, and I will be available to take questions you have for us today. Before we start, I would like to remind you of our legal disclaimer. We will make certain statements today, which are forward-looking within the meaning of the federal securities laws, including statements about the outlook of our business and other matters referenced in our earnings release issued today. These forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially. Please refer to our SEC filings, as well as our earnings release issued today for a more detailed description of the risk factors that may affect our results. Please also note that these forward-looking statements reflect our opinions only as of the date of this call, and we take no obligation to revise or publicly release the results of any revision to our forward-looking statements in light of new information or future events. Also, during this call, we will discuss non-GAAP financial measures, which adjust our GAAP results to eliminate the impact of certain items. You will find additional information regarding these non-GAAP financial measures and a reconciliation of these non-GAAP to GAAP measures in our earnings release. A live broadcast of this call is also available at Investor Relations section of our website at investors.waxcenter.com. I will now turn the call over to David Berg.
David Berg: Thank you, Amir. And good afternoon, everyone. Thank you for joining us today. The positive momentum in our business exiting in the fourth quarter marked a strong finish to an outstanding year of growth for European Wax Center. Even with the uptick of COVID cases beginning in late November that temporarily constrained labor in certain centers, we exceeded key financial objectives for the past year and advanced our growth initiatives, in turn driving record total revenue and profitability. As the leader in out-of-home waxing, we attribute our ongoing strength to the power of our business model, the recurring nature of our services, and the agility of our network in successfully executing our strategy. I would like to thank all of our associates across the organization, as well as our franchise partners for their contributions to our success in fiscal 2021, and for their steadfast commitment to living our values every day. Given 2021 strength and the momentum we've already seen in 2022, we remain confident in our ability to deliver robust top and bottom-line growth, including low 20% same-store sales growth in Q1. More and more consumers nationwide know and trust European Wax Center to consistently provide excellent service in a clean environment at accessible price points. The nondiscretionary nature of our category also provides a clear path to capitalize on the substantial market share opportunity we have in growing the $18 billion hair removal market here in the United States. We're proud of our accomplishments, yet equally focused on delivering on our long-term growth objectives and continuing to generate significant cash flow from our high-margin asset-light business model. Beginning with the highlights of our fiscal year versus fiscal year 2019, system-wide sales and total revenue each increased nearly 16% to $796.5 million and $178.7 million respectively. Same-store sales increased 6.7%, reflecting sequential acceleration each quarter and adjusted EBITDA of $64.1 million, increased $30.1 million. Looking back on the fourth quarter and the full year, we saw tremendous progress advancing our key strategic priorities to deliver on our two growth vectors. First, opening new centers. And second, driving same-store sales growth. In terms of center development, we opened 20 net new centers in the fourth quarter and 57 during fiscal 2021. Bringing our total to 853 centers and achieving our new center opening target, which we increased when we reported third quarter 2021 results. We are incredibly pleased that nearly all new centers in fiscal 2021 were opened by our existing franchisees. Even more exciting is that we ended the year with more than 330 signed at new center licenses, which is our deepest pipeline to-date and gives us confidence in delivering our target of high single-digit center growth over the next several years. As it relates to same-store sales growth versus 2019 are 13.6% fourth quarter increase, with a sequential acceleration of 300 basis points from Q3. As expected, all cohorts, including mature centers, comp positively for Q4 and 2021, excluding California, where we've been addressing concentrated labor tightness. Excluding California, Q4 same-store sales growth would have been 18.1%. As I mentioned on our Q3 call, we have implemented several actions to support our recruitment efforts. We saw continued improvement in California staffing during Q4, which has accelerated further in 2022, as we help our California franchisees achieve optimal staffing levels. The drivers of our Q4 same-store sales growth included strong retention of existing guests, as well as significant new guest acquisition. In fact, for the full year, new guest acquisition was up nearly 30% versus 2019. Guest surveys demonstrate that we are not only attracting first-time waxers, but also capturing market share from independents salons. We believe that our strong performance with both existing and new guests is proof of our highly effective marketing strategy, combined with excellent service and operational execution. Consistent with Q3, fourth quarter Wax Pass sales were approximately 20% higher versus 2019. We believe this is a great leading indicator of future performance. Given that Wax Passes are included in same-store sales only when redeemed. Over half of our transactions include Wax Pass redemptions, which is encouraging, given that Wax Pass customers visit more frequently, spend more, and have a higher retention rate than non-Wax Pass guests. Service mix also contributed to same-store sales growth as we continue to see a shift towards higher-priced body services. Over time, we continue to believe that sideline customers will add facial services back into their routines as guests feel more comfortable without masks. Overall, our compelling fourth quarter performance leaves us well-positioned to continue our favorable momentum in fiscal 2022. Moving to our 2022 priorities. They are centered around the following: 1. Expanding our footprint through new centers, 2. Capitalizing on our enhanced marketing and loyalty programs, 3. Increasing the pipeline of wax specialists, 4. Leveraging our scale to benefit our supply chain, and finally, optimizing our capital structure. First, regarding new center expansion. The investments we have made in our development team in the last 18 months have given us a strong platform for delivering long-term unit growth. Due to our demonstrated track record of growth and profitability, our existing franchisees are making commitments through multi-unit development agreements to strategically densify markets. Private equity firms and family offices are also quickly seeing the value potential of our consistent center performance and attractive margin profile. In fact, both self-funded and private equity-backed unit operators represented over half of our fiscal 2021 openings. Over time, we expect to develop a balanced mix of franchises in the network. Approximately 1/3 of the centers owned by small independent groups, 1/3 owned by self-funded regional operators, and 1/3 owned and operated by private equity-backed operators. Turning to our second priority, our marketing and loyalty programs. The success of our brand with both new and existing guests in fiscal 2021 demonstrates that our comprehensive marketing approach and media mix are driving great results. In fiscal 2022, we will focus on continued optimization and expanding media partners to reach key opportunities segments, especially men and guests with coarse or textured hair during peak seasons. With a significant increase in new guests in 2021, we will be particularly focused on retention this year through our CRM efforts. We continue to see increasing guest engagement, as well as higher revenue per guest and increasing frequency among our best guests. We expect that the October 2021 launch of our new loyalty program, EWC Rewards, will enable us to further grow these metrics. While EWC Rewards is still in early stages, we are already seeing encouraging data about its potential to be a meaningful basket driver over time. First, EWC Rewards has higher guest awareness compared to our previous loyalty program. Guests are also telling us that it's easier to earn and redeem points through EWC Rewards, which should lead to higher program engagement. Finally, guests who have redeemed rewards in the programs first few months are spending more, particularly on our proprietary retail products to enhance and extend the life of their services. We are still in the programs early innings, but we will analyze and adapt as we gain a deeper understanding of guest-behavior this year. Moving onto our third priority, increasing the pipeline of wax specialists. In California, where the government mandated shutdowns and delays in issuing cosmetology and aesthetician licenses have had the biggest impact on our network. We are starting to see license issuance accelerate. Our recent brand level initiatives in California are attracting more wax specialists as well. We have partnered with recruitment platforms to provide franchisees with resources, educational content, and savings on their recruitment efforts. Our brand remains the number one employer based on engagement for both the aesthetician and cosmetologist roles in California on indeed.com. We also launched a direct email campaign to students and industry professionals, which generated exceptional engagement well above industry standards. Finally, we recently completed the pilot phase of our beauty school partnership program, which had more than 500 participants at the end of January. Given this success, we are launching the program nationally to grow our database and reach more potential associates. As a result of these efforts, wax specialist staffing in California has improved 30% since the end of Q3 and we expect to see continued improvement. We believe we've developed a playbook that can be rolled out nationally to drive interest in our franchise centers as the employer of choice. Our fourth priority is to continue leveraging our scale to enhance the efficiency of [Indiscernible] and support infrastructure. As the category leader and the largest provider of out-of-home waxing services, European Wax Center's scale is a competitive advantage compared to the independent players that comprise the majority of our industry. We are always looking for opportunities to better leverage that scale to benefit our franchisees. For example, earlier this year, we began buying wax-related supplies such as latex gloves and wax applicators. Previously, we negotiated rates on behalf of our network, but the ordering process and financial transaction occurred directly between franchisees and a third-party supplier. Our new program has optimized the procurement process by enabling a seamless platform for franchisees to order supplies as well as EWC's Wax and Retail products. This program helps ensure the critical supplies remain in stock, and makes the order process more efficient for franchisees, giving them more time to focus on generating revenue and providing a best-in-class guest experience. Also on the supply chain front, we believe we are well-positioned to navigate current disruption and inflationary pressures. We are proud of our great relationship with our suppliers, and have invested in additional supply of our wax. While we are not immune to cost pressures, we are able to pass along higher costs to our network if needed. As the category leader, we also have the ability to recommend periodic service price increases, enabling our franchisees to protect their 4-wall profitability. Lastly, our fifth priority for fiscal 2022 is to optimize our capital structure. We are extremely proud of European Wax Center's asset-light business model that delivers strong free cash flow with less operating risk. Given our relatively modest capital expenditures and high cash flow generation, we believe that we can sustain higher leverage than other business models while lowering our overall cost of capital. Therefore, we are pursuing a recapitalization of our balance sheet through a whole business securitization. This structure is uniquely best-in-class for high-quality franchise orders and provides us significant capital allocation flexibility as we grow the business. After repaying our existing term loan, we plan to use the net proceeds from the new senior notes to return value to our shareholders through a one-time special dividend. We believe that this whole business securitization will be a component of our long-term shareholder value creation for years to come. As our business grows, we look forward to growing our securitization with it. Before I turn the call over to David Willis, I'd like to briefly touch on our guidance for fiscal 2022. We expect to deliver another year of strong top-line growth, including 70 to 72 net new center openings and same-store sales growth in line with our high single-digit long-term targets. We expect fiscal 2022 system-wide sales consistent with and total revenue growth above our low double-digit long-term targets. Keep in mind that fiscal 2022 is our first full year as a public company. Therefore, adjusted EBITDA will include a full year of public company costs on a pro forma basis, assuming we were a public company for all of fiscal 2021, we expect fiscal year 2022 adjusted EBITDA growth of 13% to 18% in line with our long-term growth target of low to mid-teens growth. In summary, we are excited about our business prospects in both the near and long-term. As we begin 2022, our positive momentum has continued, which is reflected in our Q1 same-store sales outlook of low 20s growth versus 2021. This underlying business performance coupled with our robust new center pipeline, has poised us to deliver on another year of strong financial growth and significant accomplishments toward our long-term goals. And now I'd like to turn the call over to David to review our fourth quarter and full-year performance, provide more detail on our outlook, and give color on the refinancing we announced earlier today.
David Willis: Thanks, David. And good afternoon, everyone. While I have met many of you over the past year, it's nice to speak with you today in my joint role as CFO and COO. On today's call, I will compare certain fourth quarter and fiscal 2021 results, to both fiscal year 2020, which was significantly impacted by temporary pandemic-related closures in fiscal 2019, which represented a more normalized year of operations for us. My remarks will also focus on our adjusted results, which exclude costs-related to our initial public offering and other one-time costs. Finally, I will introduce our fiscal 2022 outlook before opening the call for Q&A. You can find reconciliation tables to the most comparable GAAP figures in our press release in 8-K filed with the SEC today. Fiscal 2021 was a remarkable year of significant growth in margin expansion, powered by our compelling asset-like business model in the talent, dedication, and discipline of our teams. In terms of our record fourth quarter results, we are pleased to report strong performance highlighted by significant growth in revenue and adjusted EBITDA, compared to both fiscal 2020 and 2019. Q4 system-wide sales were $201.9 million, increasing 51.2% from 2020, and 23.2% from 2019. Our unit expansion, including 20 net new centers during the fourth quarter, coupled with a strong 13.6% same-store sales increase drove the revenue growth. Relative to 2019, we acquired a significant number of new guests and generated higher average tickets as our guests continue to favor higher-priced body services versus facial services. As David mentioned in his remarks, our California centers continue to steadily recover. In the fourth quarter of 2021, California same-store sales improved 20 basis points from Q3 to be a 450-basis point drag on network same-store sales performance. Excluding California, our same-store sales were 18.1% versus Q4 2019, and all cohorts including mature centers comped positively. We're encouraged with the recent uptick we have seen in California staffing, and we continue to focus on initiatives to improve the supply of wax specialists as David discussed. Total revenue in the fourth quarter rose 53.8% from 2020, and 35% from 2019 to $45.1 million driven once again by robust product sales to our network including both our unique Comfort Wax in retail products, royalty and marketing fees, all of which benefited from our net new center growth over the past year. Adjusted EBITDA, which excludes the impact of non-cash items, one-time charges, and other costs such as share-based compensation expense increased by $9.5 million year-over-year to $15.2 million in Q4. Consistent with Q3 2021, our fourth quarter adjusted EBITDA margin was 33.8% up significantly from 2020 and 2019. Fourth quarter adjusted net income increased to $8.5 million from adjusted net losses of $3.8 million in 2020 and $8.4 million in 2019. Q4 income tax expense was a $100,000. For the full year were incredibly pleased with the growth we achieved versus a more normalized fiscal 2019. System-wide sales and total revenue each increased 15.9% from 2019 to $796.5 million and $178.7 million respectively. Same-store sales of 6.7% versus 2019 accelerated each quarter during the year. Adjusted net income increased nearly $27 million to $29.7 million. Finally, adjusted EBITDA increased more than $30 million to $64.1 million and full-year adjusted EBITDA margin was 35.9%. Turning to the balance sheet. At the end of fiscal '21, we had cash and cash equivalents of $43.3 million compared to $36.7 million at the end of fiscal '20, $180 million in borrowings outstanding under our term loan and no amounts outstanding under our revolver. Now on to our outlook for fiscal 2022 and a comment on the first quarter. We are planning to open 70 to 72 net new centers for the year versus 57 in fiscal 2021, representing an acceleration from our 2021-unit count to more than 8%. As David mentioned earlier, we have the deepest new center pipeline in our history; more than 330 licenses, which reflects both the confidence our franchisees have in the model and several years of growth at a high single-digit rate. We expect more incremental openings year-over-year in the first half of 2022 versus 2021 as we put more rigor and discipline into our development process. Approximately 2/3 of our expected fiscal 2022 openings are already open or under construction, giving us tremendous confidence in delivering our full-year plans. We expect the network to generate system-wide sales between $870 million and $910 million. Although we are encouraged by our recent progress, our guidance does not assume a full recovery of the ongoing labor constraints in California. Despite this headwind, our expectation for same-store sales growth versus fiscal 2021 is at the upper end of our high single digit long-term target. We are also planning for total revenues of a $198 million to $208 million in fiscal 2022, representing 13.5% growth rate year-over-year at the midpoint of the range in exceeding our long-term revenue growth target of low double-digit growth. Total revenue growth continues to be driven by new center growth in the strong ramp of new and existing cohorts, including significant new guest acquisition and retention. Earlier this month, we implemented a small price increase on our wax sold to franchisees to offset the supplier-led cost pressures. To help protect four-wall profitability in light of this increase and other cost inflation, in January our franchisees implemented an average 5% price increase on body services, which represent a majority of services performed in our centers. As a reminder, periodic service price increases were always contemplated in our long-term growth algorithm. And historically, we have not seen a material impact on transactions when taking price. As David mentioned earlier on the call, total revenue in 2022 will also include an incremental opportunity that leverages our scale to buy supplies using our services on behalf of franchisees. At a corporate level, this move will generate incremental revenue and gross profit dollars, but at a significantly lower gross margin rate than our Comfort Wax and proprietary retail products. Including this mix shift, we expect full-year gross margin in the range of 71% to 71.5%. From a profit standpoint, we expect fiscal 2022 adjusted EBITDA of $69 to $72 million, representing a 10% annual growth at the midpoint. As a reminder, fiscal 2022 is our first year fully burdened with public company costs, which constrained our one-year growth rate. Assuming we were public for all of fiscal '21, our fiscal '22 adjusted EBITDA guidance of $69 million to $72 million would represent 13% to 18% annual growth, in line with our long-term target of low-to-mid-teens growth. Given our asset-like model, we expect approximately $2.5 million in capital expenditures as we continue to invest in our technological capabilities and only a slight uptick in annual depreciation and amortization from fiscal 2021. Finally, we expect adjusted net income of $35 million to $39 million, up almost 25% from 2021 adjusted net income at the midpoint of the range. Our guidance assumes a 15% effective tax rate for fiscal 22, but does not contemplate the impact of our expected refinancing, which I will discuss shortly. Our guidance includes a 53rd week in the fourth quarter of fiscal 2022. However, due to its timing between Christmas and New Year's, we estimate its contribution to both top and bottom line will only be worth about half of an average fourth quarter week. We don't expect to get quarterly guidance on an ongoing basis, but keep in mind, we had COVID-related center closures impacting both 2020 and early 2021. So fiscal 2022 seasonality will look different from prior years. Therefore, we would like to provide some quarterly context on this call. From a volume standpoint, Q1 is typically our lowest volume quarter and should account for approximately 21% of fiscal '22 total revenue. Q2 and Q3 typically generate the largest volume and we expect each to comprise about 26.5% of annual revenue this year. Due to center closures in early 2021, particularly in California, we expect that Q1 sales growth will be the highest of the year with same-store sales growth in the low twenties. On the bottom-line, we expect Q1 adjusted EBITDA margin of approximately 31%, with Q2 through Q4 expanding to the mid-30s as a higher volume generates more fixed cost leverage. As David noted earlier, we plan to lean in during our peak summer season to target core audiences. As a result, we expect advertising expense to be the heaviest in Q2 and Q3. From a long-term standpoint, we remain confident in our previously communicated growth algorithm over the next three to five years, have compounding annual growth in high single-digits for new centers high single-digits for same-store sales, low double-digits for total revenue and low to mid-teens for adjusted EBITDA. Finally, I'd like to close with a few words about the debt refinancing we announced this afternoon. Since IPO, we have acknowledged an opportunity to optimize our capital structure to give us the flexibility to create long-term shareholder value. We ended fiscal 2021 with a net debt to adjusted EBITDA ratio of 2.1 times. But we believe our business has the capacity to support additional leverage due to its recurring revenue model, asset-light nature, and ability to generate significant free cash flow. We believe that a whole business securitization, which is best in class among our high-quality peers, is the most optimal capital structure for us. We intend to replace our existing debt with $400 million of fixed rate term notes in $40 million of variable funding notes. While the transaction will be adjusted EBITDA neutral in fiscal '22, we do expect incremental interest expense in the second through fourth quarters due to the higher level or debt our model can maintain. As David mentioned, we've evaluated our near-term opportunities and expect to use the proceeds from the senior notes along with excess existing cash to pay off our current term loan, fund the transaction expenses and issue a one-time special dividend to shareholders. More importantly, putting this structure in place establishes the foundation from which we can raise funds in the future for strategic investments or capital returns to shareholders. The closing of this transaction, which we anticipate will be in a few weeks, is subject to market and other conditions. Since we have not yet finalized the offering size and pricing terms, we plan to issue updated adjusted net income guidance upon closing. We look forward to the next stage of our growth, and we view the whole business securitization as a first step in a multiyear journey of generating significant long-term shareholder value. In summary, we're pleased with our momentum to start 2022 and excited about the profitable growth opportunity ahead of us. We look forward to continuing to provide a nondiscretionary recurring service to our loyal guests that deliver strong and consistent results in a variety of environments. And we remain focused on extending our leadership position in this large and growing addressable market. I will now turn the call back over to the Operator for questions. Operator.
Operator: Certainly. [Operator Instructions]. Our first question comes from the line of Randy Konik from Jefferies. Your question, please.
Randy Konik: Yes. Good evening, guys. Thanks for taking my questions. My first question. I just want to unpack the recapitalization special -- intended special dividend that you're going to be giving, what you think is a great signal around the recurring revenue nature of the business and the flow of the business itself. So I guess I want just to understand just what type of leverage ratio are you comfortable going to. And then how do you think about, I guess [Indiscernible] given you're on the Board of Planet Fitness, how do you think about the similarities of what you did there from a special dividend perspective from -- with this particular business. Maybe compare and contrast how you're thinking about that, or the board's thinking about that with the special dividend under the recapitalization. Thanks.
David Berg: Hi, Randy. Thanks for the question. Let me just address how we're thinking about that at a high level and then ask David Willis to maybe do the unpacking. Listen as you all know, this is a -- the asset-light nature of our business model really allows us to balancing the investing long-term growth for -- the long-term growth of the business with returning capital to shareholders. We have a high confidence in the low volatility and risk of the business and we think that we -- the comfortable leverage ratio of 5:6 times is very comfortable, very doable in the -- given the recurring nature of our revenue streams and we looked at investment opportunities and how best to maximize shareholder return and number of the more blue-sky growth initiatives that we've talked about are quite capital light in nature as well. So as David, when he unpacks it, where we ended up Randy's, was that it made sense at this time to have the net proceeds return to shareholders as a special one-time dividend. I think what is important is that while we intend to use these initial proceeds to fund that special dividend, we do believe that the whole business securitization will become a component of our long-term shareholder value creation for years to come. I think it's a good vehicle for us to have in place. DW, maybe just a little bit more detail if you would.
David Willis: You bet. So Randy, as you know right now at the end of the year, at 2.1 times net leverage, we just think the model is under leverage relative to our best-in-class peer. As we think about it, this is obviously subject to market conditions and our closing, but we plan to, if we can secure the 400 that we're targeting, we pay back the $180 million term down transaction cost to use. A little bit of cash on our balance sheet -- keep a little bit of cash on our balance sheet. But other than that, the goal of this, the objective of this is to use the bulk of the proceeds or the net of the proceeds to fund the one-time special dividend.
Randy Konik: And my last question -- no it helps, it helps very much. And then my last question is, I just wanted to get some more clarity on how you think about California playing out. You gave us some really good color around the continued impact, which seems to be around 500 basis points or 450, 460 basis points, whatever it seems to be impacting total company comps. So when you think about the annual comp guidance for 2022 and you gave to your first quarter, I think you said you don't assume much improvement in trend from California in terms of the impact. I just want to clarify that and just get your perspective on what the financial impact you see and then how you see that California improvement ramping throughout the year and how we think about 2023 because it almost seems like California could be a real springboard or spring-loaded type of region for you, maybe not in the beginning of 2022, but perhaps in the back-half of '22 and into '23 -- 2023 and beyond. Thanks.
David Willis: Randy, I think you've hit on ahead in terms of how we're thinking about it. Our overall guidance just simply, we wanted to call out, does not assume that the California centers are at a full recovery relative to all other states. We are seeing positive trends. We saw these in the fourth quarter in our California centers. We're continuing to see further recovery in the first quarter thus far in 2022. So when you really think about what our quarterly comps, it's going to make our comp-set look really good in the first quarter because we're lapping a quarter where the California centers were just starting to reopen last year. I think our highest quarterly comps that will be in the first quarter. But overall, I don't want to send signals that we are discouraged. Actually, we are encouraged where the California is trending. We just want to be prudent and not assume a full recovery until that comes into to full visibility for us.
Randy Konik: Great. Thanks, guys.
David Berg: Yeah. Thanks, Randy.
Operator: Thank you. Our next question comes from the line of John Heinbockel from Guggenheim. Your question, please.
John Heinbockel: Hey, guys. Firstly, there's an opportunity right to -- for new centers to outperform the store -- the center model, right? Year 1, year 2, do you think we see that in '22? And then as you get to network effect, by how much do you think you can outperform the store model and mature faster?
David Berg: So, John, we have seen the 2020 and the 2021 cohorts’ ramp better and faster than our historical maturation curves. We want to see candidly more data too and before we -- our guidance does not assume that every center that opens ramps at the same rate and pace that the most recent cohorts have opened. We'd like to see an update to ensure they actually continue to ramp at that pace and candidly exceed the maturation target of where our historical maturation is been around that million dollars mark. So we see the opportunity. We have seen centers ramp a bit faster, but we've not baked that into our guidance because it's candidly really early days for these younger centers.
John Heinbockel: Okay. And then maybe secondly, when you think about supply demand of wax specialists, how many -- opening at 8%, 9%, 10% a year, and then factoring in right turnover, how many do you think you need a year? And then as you do these partnerships for building schools, does that then open the potential for at least modestly exceeding the high end of the targeted range?
David Berg: Yeah, John, I think for the average center, that's about 1500 square feet in the six wax suites, we're getting kind of between 8 and 12 wax specialists per center, so you multiply that by the 70 to 80 centers that we're going to open in the coming years. And you can do the math take some attrition rates in there. We need to -- it's the reason we're continuing to drive our Wax or pipeline. We've talked about the industry relations team that we have here internally that works with our franchisees, works with our beauty schools, works with the online platforms to attract the best talent. And we feel great about some of the things that we've done in California and to work with our franchisees. At the end of the day, as you know, that these folks are employed by our franchisees. But these are programs that we can roll out to assist franchisees across the nation. So we feel good about it. We've talked with you all before about if there's any governor and why we're very thoughtful and prudent about our growth rate is that we want to make sure that any time we open a center, it's with high-quality wax specialists so that that amazing experience that you get is consistent across the entire network.
John Heinbockel: Okay. Thank you.
David Berg: All right, John. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Simeon Gutman from Morgan Stanley. Your question, please?
Simeon Gutman: Hey, good afternoon, everyone. Hoped everyone's good. My first question is, the consensus sales number that was printed, at least so far, it looks in line and it looks like EBITDA maybe a little below. I know David Willis talked about public costs existing throughout the year. I just want to clarify. I don't know if you could have seen that in consensus or not. But is there something else about the flow-through that's a little bit at the margin worse or is it this gross margin issued that you were calling out? I just want to reconcile maybe the EBITDA being a little bit lower than the midpoint of the sales range. If that makes sense.
David Berg: I think Simeon it's primarily the wrapped around impact of public company costs and the headcount that we hired last year in support of taking the company public and maintaining public company compliance. I think it's more in the wrap around impact of that and it really is in the margin.
David Willis: One thing to add, Simeon, was we talked about the wax supplies vendor that we added, right? The strategic decision to optimize that procurement process, that had a impact to sales, right? EWC revenue, and that flow-through was less than what you would expect on our general product line. So that is factored in as well, to why you see an out-sized beat on the EWC revenue, but not flowing through -- entirely through EBITDA.
Simeon Gutman: Okay. And I guess I'll ask a follow-up with two parts. To your point about the -- buying some of the supplies on their behalf, it makes sense, you should be buying it because your scale is better. But you're doing it also to take some of the heat off the franchisees because it gives them a benefit as well. And then the other question I was going to ask just on Q1, because effectively the quarter's done and you know how you performed. Can you talk about maybe the cadence by month, more of just a highlight. I think the resilience, even in the earlier part where there may have been some Omicron impact. And just I don't know if you can talk about how it improved throughout the quarter.
David Berg: Yeah. Hey, Simeon. I mean, you're right on the supplies. We're trying to get our franchisees to just focus on delighting our guests, and this is an ease of -- seamless way for them to utilize a platform to purchase those supplies, so that was a lot of what went into our thinking on that. I think in the quarter, we -- Omicron really we probably saw the impact in -- towards the tailwind of Q4 in November. And we saw that honestly more on the labor issue, that the consumer demand remained quite strong, robust as we went into the quarter, into fiscal year 2022. And we've continued to see really, Simeon, a consistent ramping of traffic, very, very pleased with our traffic rates as we come to the close of Q1.
Simeon Gutman: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Jonathan Komp, from Baird. Your question, please.
Jonathan Komp: Hi. Thank you. Can I ask more about the service price increase you took; just any feedback or reception from the results you've seen from that so far? And then what do you think about the same-store sales guidance for the year, can you just maybe walk through how you're thinking about building the glide path and how we should expect same-store sales to trend going forward here?
David Willis: Yeah, Jon. This is David. On the service price increase, we really wanted to protect franchisee 4 wall profitability. So you may recall, we took a modest price increase last February. And most recently, we took another modest price increase only on body services in January of this year. We have not really seen ticket attrition. I think for guidance purposes, it was responsible to assume a modest amount of attrition. But in terms of the -- we don't currently have enough data for the service price increase taken in January of this year to measure that, we do have an updated the measure tickets from the service price last year and we really didn't see much in the way of attrition, so we feel good about that. In terms of what do four-wall profitability look like? We rolled up our 2021 P&Ls, and the average center remains slightly more profitable in 2021 than it did in 2019. So we think that really speaks to kind of the resilience of the four-wall model kind of through these -- some of these uncertain times. Amir, do you want to touch on the same-store sales?
David Berg: Sure. Hey Jon, we talked about Q1 being in the low twenties in terms of same-store sales, just given the nature of one, returning --the guests returning back and seeing the volume impact in Q1, but the same time Q1 of '21 and the centers were ramping, and some were closed. As we look at the full year, we talked about at the high-end of the high single-digits, and so what that means for Q2, Q3, and Q4, which were lapping last year's return, but we would say on the low end of that high single-digits to achieve that.
Jonathan Komp: Okay. That's very helpful. And then one other separate question just related to the unit outlook. Could you maybe share any of your latest thoughts on some of the tests either around the smaller market model or I don't know that this is a test, but current thoughts on the opportunity for shop-in-shops or alternative formats? Thank you.
David Willis: Hey, Jon. It's David. Thanks for the question. Listen, we remain hyper-focused on rolling out our standard box that 1,300 to 1,500 square foot with six wax suites, it's tried and true, it's proven, and that's what we're doing. We've got a couple of experiments with some smaller formats. Really too early to tell, but the go-forward game plan is to continue to roll out what we've been doing over the years and know how to do very well. We will continue to look at other opportunities, what we call wondering outside the bulls-eye whether, that's store-within-a-store or moving our product into some retailers. But right now, given the -- coming out of the pandemic and getting the momentum that we have, we really want to stay focused on what we know how to execute extremely well.
Jonathan Komp: Okay, great. Thanks again.
David Berg: All right, Jon. Thank you.
Operator: Thank you. Our next question comes from the line of Kelly Crago from Citi. Your question, please?
Kelly Crago: Hi there. Curious if you could elaborate on your beauty school partnership program. Seems interesting and seems to be working to help you attract more waxers. So just curious what you're doing now that you weren't doing prior and how quickly you can roll this out nationwide.
David Berg: We're doing a couple of things there, Kelly, so we're sponsoring -- so we actually are putting EWC branded content in some of our beauty schools. Our franchisees have shared some of their wax specialists to teach some courses. So, we're trying to get more engaged with the beauty skills and we're candidly seeing some of the virtual recruiting fairs that we've conducted with franchisees to be quite successful and received really good engagement. We are also, separately from that, doing more of a direct e-mail outreach to licensed aestheticians and cosmetologists. We started first in the state of California. We had good reception to that. That's another program we plan to do direct outreach to share with prospected candidates. What's a day in the life at EWC like and how you can make a career here? So beyond just the beauty skills, we probably spend most of our time talking about that, but we're also doing other programs to drive the candidate pool for our franchisees.
Kelly Crago: And just separately, curious if you could talk a little bit more about the P&L impact from the optimizing procurement for your franchisees that we're expected to see this year. So like how much of a topline contribution are you expecting, and then will that show up in product sales? Any color on the margin differential between those sales and what your typical products sales margins look like. Thank you.
David Berg: Sure, Kelly. In terms of your question on the -- will it show up in product sales, it will. It will be part of our wholesale, which is a component of product sales. We will see a decline in overall margin. But that is driven by this product line being at a lower margin than our overall wholesale, that's around 230-280 basis points. We do see some upside on royalty and marketing funds since those just from a mix standpoint as we grow our sales. This change is a strategic change for us, and it's also accretive from a margin dollar standpoint. But we do see some rate declines. As we look at the overall margin, what you heard from David Willis, 71% to 71.5% is our overall gross margin for the year.
David Willis: They're driver for this. So I would say in the scheme of things, this is not a super material thing to our P&L, but it avoided higher cost our franchise would have had to bear had we not made the change. So, the market was going up with some of the other suppliers, so this wasn't [Indiscernible] not just to make ordering a little easier for them, more efficient, which is the case, but it was also a bit of a cost avoidance strategy for our network.
Kelly Crago: Great. Thanks, guys. Best of luck.
David Berg: Thanks, Kelly.
Operator: Thank you. Our next question comes from the line of Dana Telsey from Telsey Advisory Group. Your question, please.
Dana Telsey: Good afternoon. I missed the first part of the Q&A session so this is a repetitive. As you think about 2022 and the franchises, what are you seeing in terms of the openings of new stores? Are they opening on the time frame that you want given the supply chain headwinds of getting equipment? Then on the employee basis aestheticians, where are you in terms of California or other areas in finding enough aestheticians? Lastly, I thought it was interesting in terms of sales versus other parts of the body in terms of waxing, anything you are doing to try to drive attachment sales that way to increase the average transaction? Thank you.
David Willis: Dana, hi. This is David. On the new center openings, our guidance is 70-72 net new centers for fiscal 2022. As it relates to supply chain, we have seen costs come down from their peaks. I think we spoke on our last call that lumber is down from where it was second and third quarter last year. I would say contractor rates are a little all over the board. In some markets, there's still elevated, in other markets they've been tempered a bit. We made investments in our development team last year and we put in place more rigor around our development process. We also built in more cushion into the overall development timeline because we continue to see, in some markets permitting, is getting better in some markets, but it's still unpredictable and slow in other markets. So that's a long-winded way of saying, given what we've done in the overall development process where we're seeing supply chain and construction costs, we are quite confident in our ability to deliver the guidance that we have provided. We also continue to believe that this kind of thoughtful, prudent approach will enable our franchisees to recruit sufficient staff so they can open and start driving tickets with new guests.
David Berg: I think, Dan, on on your face question, as we've talked about before that compared to 2019 or 2021 service mix, certainly did skew more towards body services. And we do continue to believe that there are some sideline guests that will return when they get back in their full personal care routines; as restrictions ease, as fears ease, that the face will come back into it. So we still think about faces and hand. You know that those services are typically at a much lower price point, but we do have things in mind in terms of promotions to bundle those body and face services to drive that business back into the centers in the coming months.
Dana Telsey: Thank you.
David Berg: Thanks, Dana.
Operator: Thank you. This does conclude the question-and-answer session of today's program, I'd like to hand the program back to David Berg for any further remarks.
David Berg: Well, thank you. Thanks, everybody for joining us today. Obviously, we're incredibly proud of what the team accomplished and a huge thank you to all of our associates and our franchisee partners, and we certainly are excited about the momentum that we have as we enter 2022, and we will look forward to speaking with you all in early May when we announce our Q1 results. Have a great rest of day, thank you for joining us.
Operator: Thank you, ladies and gentlemen for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.